Operator: Hello, and thank you for standing by. My name is Bella, and I will be your conference operator today. At this time, I would like to welcome everyone to ZipRecruiter, Inc. Q3 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. We do request for today's session that you please limit to one question and one follow-up. If you would like to ask a question during this time, simply press star. I would now like to turn the conference over to Emilio Sartori, Head of Investor Relations. You may begin.
Emilio Sartori: Thank you, operator, and good afternoon. Thank you for joining us for our earnings conference call during which we will discuss ZipRecruiter's performance for the quarter ended 09/30/2025, and our guidance for the fourth quarter 2025. Joining me on the call today are Ian Siegel, Founder and CEO, David Travers, President, and Tim Yarbrough, CFO. Before we begin, please be reminded that forward-looking statements made today are subject to risks and uncertainties relating to future events and/or the future financial performance of ZipRecruiter. Actual results could differ materially from those anticipated in these forward-looking statements. A discussion of some of the risk factors that could cause results to differ materially from any forward-looking statements can be found in ZipRecruiter's quarterly report on Form 10-Q for the quarter ended 09/30/2025, which is available on our investor website and the SEC's website. The forward-looking statements in this conference call are based on current expectations as of today, and ZipRecruiter assumes no obligation to update or revise them, whether as a result of new developments or otherwise. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for, or in isolation from GAAP results. Reconciliations of the non-GAAP metrics to the nearest GAAP metrics are included in ZipRecruiter's shareholder letter and in our Form 10-Q. And now I will turn the call over to Ian.
Ian Siegel: Thank you, and good afternoon to everyone joining us today. Despite a persistently soft labor market, ZipRecruiter's momentum continued in Q3, which we believe is clear evidence that our strategy is working. From Q1 2025 to Q3 2025, we delivered consistent sequential revenue and quarterly paid employer growth. And our Q4 2025 revenue guidance at the midpoint indicates our first year-over-year increase since 2022. This performance comes despite both hires and the quits rates in the U.S. remaining near their lowest levels since 2015. ZipRecruiter is showing strength with enterprise employers in particular. Performance-based revenue grew 12% quarter over quarter, the most growth we've seen in the past three years. Multiple long-term product investments are now bearing fruit. We've made it easier for enterprises to start spending with ZipRecruiter thanks to our over 180 ATS integrations. We've improved the return on that spend through our programmatic campaign optimization tools. And we've greatly improved the job seeker application experience through the development and growing adoption of Zip Apply. On the job seeker side of our marketplace, we are focused on reaching people wherever they are, no matter how they choose to find work. After consistently gaining market share with job seekers, we now see generative AI as a new and rapidly growing channel of job seeker traffic. In response to this emerging market reality, in Q3, we further optimized for AI-driven discovery, driving a 140% sequential increase in visits from generative AI models. We credit our 2025 performance to the multiyear investments we have been making into tomorrow's hiring solutions. ZipRecruiter's strategic strengths continue to endure despite the macro. We remain the number one rated job search mobile app in both app stores, and the number one rated recruiting site for employers. We maintain over 80% aided brand awareness among both the job seeker and employer sides of our marketplace. And we continue to use the billions of interactions in our marketplace to train our AI-powered matching algorithms, driving better outcomes for job seekers and employers. We believe ZipRecruiter is in a strong position to shape the future of work and lead the shift from offline to online recruiting, enabling us to capture outsized market share when the market recovers. I'll now hand the call over to Dave to share some business highlights.
David Travers: Thanks, Ian, and good afternoon. We continue to focus our product and technology investments on driving better matching and engagement across our marketplace. Our strong results in Q3 demonstrate the value these investments are creating for both employers and job seekers. I'm excited to share a few highlights with you. Quarterly paid employers hit 67,000, increasing 1% sequentially and 3% year over year. This is our first time seeing year-over-year growth in quarterly paid employers since 2022, demonstrating the value of our brand and product offerings despite the subdued hiring market. Our enterprise strategy is delivering strong results. Enterprise customers who run sophisticated hiring campaigns rely on us to optimize their campaign performance, delivering high-quality candidates. In Q3, we improved our automated campaign performance optimization solution to increase the efficiency of employer spend. As a result, enterprise customer adoption of this solution increased 19% quarter over quarter and drove stronger campaign performance, contributing to the 12% sequential increase in performance-based revenue in Q3. This marks the largest sequential growth in performance-based revenue in over three years and signals that our enterprise partners are finding increasing value in our products and services. ZipIntro, an AI-powered solution that speeds up hiring by rapidly connecting employers and job seekers for face-to-face conversations, continues to build momentum. Enterprise customers are rapidly adopting the tool. In Q3, interviews and scheduled sessions for enterprise customers increased by 80% sequentially, building on the sequential growth of 90% we delivered in Q2. In Q3, we released upgrades to our next-generation resume database, including productivity tools designed to help recruiters review candidates faster, collaborate seamlessly, and fill roles sooner. As a result of these enhancements, SMB employer resume unlocks increased 11% sequentially, building on the 12% sequential growth in Q2. We believe that this consistent increase in employer adoption demonstrates the increasing value SMBs are finding in our resume database. Job seekers are increasingly using generative AI to search for job opportunities. And in Q3, we optimized our marketplace to help these next-generation tools easily discover and surface employer jobs. This improvement drove a 140% sequential increase in site visits from generative AI. We believe that reaching job seekers no matter how they find work will allow us to capture market share over time. In 2024, we acquired Breakroom, a workplace rating platform purpose-built for workers in frontline industries. In August 2025, we launched Breakroom in the U.S., and it is quickly gaining traction with employers and job seekers alike. As of September, Breakroom has published over 10,000 employer profiles, up from 8,000 in the prior quarter. This is powered by over 1,000,000 ratings from workers in the U.S. These ratings provide job seekers with crucial data on working conditions to make more informed and more confident decisions about their next great opportunity. I'll now turn the call over to Tim to review our financial results and guidance.
Tim Yarbrough: Thank you, Dave, and good afternoon, everyone. Revenue in Q3 2025 was $115 million, representing a 2% decline year over year but a 2% increase sequentially, exceeding the midpoint of our guidance. This sequential increase was primarily driven by the 12% quarter over quarter increase in performance-based revenue from our enterprise employers. Quarterly paid employers were 67,000 in Q3 2025. This is an increase of 3% year over year and 1% sequentially. This marks the third consecutive quarter of sequential quarterly paid employer growth and, importantly, our first year-over-year increase in quarterly paid employers since Q1 2022. Our continuing momentum with employers of all sizes is a strong indicator of our brand's resilience despite the macroeconomic volatility. Revenue per paid employer for Q3 2025 was $1,717, 4% year over year, but up 1% sequentially, driven mainly by the growth in performance-based revenue from enterprise employers. Performance-based revenue made up 24% of our total revenue in Q3 2025, up from 22% in the prior quarter. Our net loss in Q3 2025 was $9.8 million. Adjusted EBITDA in Q3 2025 was $9.2 million, resulting in an adjusted EBITDA margin of 8%. This is flat compared to the 8% margin in Q2 2025, with higher revenue offset by higher expenses. As of 09/30/2025, our cash, cash equivalents, and marketable securities totaled $411 million. During Q3 2025, we repurchased 2.2 million shares for a total of $10 million. Looking ahead to our guidance for Q4 2025, we anticipate revenue to be between $109 million and $115 million. The midpoint of $112 million represents a 1% increase year over year, a return to year-over-year revenue growth for the first time since Q3 2022. The 3% sequential decline in revenue follows typical seasonality. Despite a subdued macroeconomic environment, our guidance assumes a continuation of the same stable but subdued hiring environment observed in Q3, along with normal seasonal slowness during the holiday periods. Our adjusted EBITDA guidance midpoint of $14 million implies a full-year 2025 adjusted EBITDA margin of 9%. This exceeds the mid-single-digit scenario we outlined earlier in the year. We continue to believe in disciplined capital deployment and sustained investment in high ROI product and marketing opportunities. Despite the ongoing macroeconomic challenges, we've maintained adjusted EBITDA profitability while investing in our product and technology, which we believe sets us up to achieve our long-term goal of 30% adjusted EBITDA margins. We are successfully navigating this period, stabilizing revenue this year in a subdued macro environment while leaning into strategic long-term investments that we believe will drive future growth. With that, we can now open the line up for questions.
Operator: Thank you. We do request for today's session that you please. Your first question comes from the line of Justin Patterson with KeyBanc. Your line is now open. Please go ahead.
Sergio Segura: Great. Thank you. This is Sergio Segura on for Justin. Just the market reception for products like automated campaign optimization and ZipIntro seem to be strong. So just wondering how should we think about product innovation influencing growth against a still weak macro? Thank you.
Ian Siegel: Thank you for your question. I think what you can see is there is clear evidence that our product strategy is working. And that in spite of the macro, we have been able to grow both revenue and utilization of our product by both sides of the marketplace. And I think the only explanation for why that strategy is working is because we are taking market share. We are growing because our solutions are being embraced by the market. We have picked the right lanes in which to focus, and in particular, as it relates to enterprise, we've been having tremendous success, which has been a labor of many years to put all the pieces in place, as we discussed in the initial comments at the beginning of this call, where it took a lot of work to get the 180 ATS integrations done, but that means that large buyers can more easily start, activate, and start buying from ZipRecruiter. It took a lot of work to both deploy and optimize an automated campaign optimization tool. And yet, that's becoming a fundamental part of the value that these enterprise customers get from us because they get substantially better results when they use that tool, which is why you saw adoption of it grow by 19% in the past quarter. When you look at our marketplace as a whole, for a long time, we've talked about the split between SMB revenue and enterprise revenue. And what you're starting to see is the balance that we have predicted for a long time start to play out. As the innovations and optimizations to our product have been deployed, we're seeing the market respond positively to that. And even in this time of what we'll call a subdued labor market, we are finding momentum.
Operator: Your next question comes from the line of Josh Chan with UBS. Please go ahead.
Josh Chan: Hi, good afternoon. Thanks for taking my questions. Was wondering if you could share a little bit about sort of your macro view. It doesn't sound like that from your perspective, much has changed from a macro perspective, but curious what you saw kind of cadence through the quarter and how that informs kind of the guidance for Q4 from a macro perspective?
Ian Siegel: Well, I think, you know, as we talked about coming into 2025, post-election, there seemed to be a really significant spike in optimism from businesses of all sizes in regards to their hiring plans. And then as we've gotten into 2025, for a variety of reasons, I think the overall picture is one of more of a continued modest decline in hiring is what we have observed. There have been brief periods of stability, but the overall bend has still been one of modest decline. The projections that we gave you are based on an expectation of a continuation of the market that we are in. We will continue to observe what is happening in the labor market as we give you future projections. But as far as our Q4 goes, our assumptions are fundamentally that the market continues on its current relative trend.
Josh Chan: Great. Thank you, Ian. And I guess from a margin perspective, what's enabling the Q4 margin strength versus sort of the mid-single-digit characterization from earlier in the year? And then obviously, as we kind of return to growth, will there need to be another investment phase? Or are we kind of off to these relatively higher margin levels compared to the recent past?
Tim Yarbrough: Yes. This is Tim. Thanks for the question, Josh. Yes. So as far as margins go, what you see in Q4 is reflective of, I think, of a typical seasonal pattern in our marketing investments. When we make these investments, we're doing so opportunistically based on the returns that we're seeing. And so over the course of Q4, typically, see a slight downturn in terms of hiring overall, especially surrounding the holidays. And oftentimes, our marketing investments reflect that. Overall, though, we're still leaning into opportunities for high ROI opportunities as we see them. But that's generally going to result in a higher adjusted EBITDA margin in periods like Q4.
Josh Chan: Great. Thanks for the color, Tim, and good luck in Q4.
Operator: Your next question comes from the line of Trevor Young with Barclays. Please go ahead.
Trevor Young: Great, thanks. On the 12% sequential growth in the performance-based revs on the enterprise side, was there something that kind of changed this quarter that all of a sudden made it click? I know we've been talking for a lot of quarters and frankly, a number of years on the continual changes to the product. All the ATS system integrations, taking out the campaign optimization tools and so forth. It just seems like that was really strong pickup. Just wondering if there's any nuance there as to why this quarter it was particularly strong.
David Travers: Thanks, Trevor. This is Dave. It was really strong this quarter. I think it is the cumulative effect of a bunch of things we've been up to for a long time, but I would highlight two. One, as we've talked about before, continuing to take market share and continuing to have the highest-rated job seeker apps in the app stores of both Google and Apple. Fundamentally, enterprises want job seekers, and increasingly, it's clear to them not only that job seekers are choosing ZipRecruiter, but why they're choosing ZipRecruiter. And so that is incredibly powerful for our enterprise customers and our continued momentum there. And then secondly, the campaign performance tool that we've mentioned a couple of times already, fundamentally, it takes less work now to get better results. With our latest generation tool, where you as a customer say what your goals are, and the magic of our technology empowered by AI and a bunch of other underlying tech makes it increasingly likely that you're going to have your goals not just met, but exceeded. And so that is fundamentally the two underlying things. We've been executing well against that. And enterprises don't move on a dime. It takes several quarters of great execution for that to come to fruition. And we feel really good about where we're at.
Trevor Young: That's really helpful. And to that point that enterprises are maybe slow to move, but maybe once there's that inertia there, should we then assume that performance-based revenue should be stronger sooner than the recovery on the subscription side of things? Is that a fair way of thinking about it for Q4 and beyond?
David Travers: I definitely think in Q3, we were taking share rather than an overall market trend, and we feel very good about the indicators we see in terms of what the long-term potential is there. So I'm feeling good about it. And I think, you know, when I talk to customers all the time, it increases my confidence that we're doing all the right things to serve the high end of the market.
Trevor Young: Great. Thanks, Dave.
Operator: Your last question comes from the line of Kishan Patel with Raymond James. Please go ahead.
Kishan Patel: This is Kishan on for Josh Beck. What is driving quarterly paid employee trends which returned to growth this quarter? And are growth trends different across new employees on Zip versus reactivations?
Tim Yarbrough: Yeah. Hi, Kishan. Thanks for the question. This is Tim. The trends have been consistent all year long, so showing quarterly paid employer growth sequentially in Q1, Q2, now in Q3. And I think all of this is reflective of our forward-looking stance on customer acquisition and engagement. The strength that we're seeing is coming from both of those categories that you mentioned. So we are seeing a return of new paid employers or an increase in new paid return of former employers that had been on our marketplace before that are looking to reengage in hiring. So those two vectors have been driving the paid employer growth number throughout the course of the year.
Ian Siegel: And I would just add, this is Ian, that the level of engagement on our platform is achieving new heights, and that's there's a combination of product improvements that have led to this. But on a year-over-year basis, 24% more of the SMBs that use our service for recruiting are getting five-plus candidates within the first twenty-four hours. And that is a direct testament to the algorithmic matching that we're doing, which is identifying, messaging, and inducing those candidates to apply. I think just fundamentally, the service is getting better.
Kishan Patel: Got it. If I can ask a follow-up. You mentioned site visits from Gen AI search engines are up 140% year over year. Can you share any surprises on conversion quality or downstream revenue from that uptick versus traditional traffic?
Ian Siegel: This is Ian again. Yeah. I would say, you know, we're all watching generative AI very closely as a new source of job seeker traffic and a new pattern of job seeker behavior. It is still emergent. It is rapidly changing. The quality of traffic from that is on par with the quality of traffic we've seen from other sources. I think it is definitely poised for continued growth. And it's something we're putting a lot of attention onto. And we are quarter by quarter optimizing our site and the experience that we provide both to job seekers and to those engines to increase the probability that we are the answer that one of those engines gets. Or that a job seeker that comes from one of those engines has a strong experience on ZipRecruiter.
David Travers: This is Dave. The other thing I would add to that is that in addition to doing all the work to make ourselves visible, structure our data, etcetera, that generative AI becomes a powerful new growth channel for us with job seekers. That's the handoff to then create the great experience once they get there. So we talked about ZipIntro, obviously, earlier. But that's, you know, a pattern of job seeker behavior where they start out in generative AI having that conversation about where to look for a job and then end up on ZipRecruiter where they're quickly then talking to a real employer about a real job opportunity, and we see explosive growth in both the front end with generative AI and then in the subsequent conversation with a hiring manager, and that's a powerful combination.
Kishan Patel: Got it. Thank you.
Operator: That concludes our Q&A session. Ladies and gentlemen, thank you all for joining, and you may now disconnect. Everyone have a great day.
Ian Siegel: Goodbye.